Unidentified Company Representative: Good morning, everyone. This is [ Tracy Lee ] from Waterdrop's Investor Relations. It's my pleasure to welcome everyone to Waterdrop's First Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. Please note that discussion today will contain forward-looking statements made under the safe harbor provisions of U.S. Private Securities and the Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risk and uncertainties include but not limited to those outlined in our public filings with the SEC. The company does not undertake any obligation to update any forward-looking statements except as required any applicable law. Also, this call includes discussion of certain non-GAAP measures. Please refer to our earnings release for a reconciliation between non-GAAP and GAAP. Joining us today on the call are Mr. Shen Peng, our Founder, Chairman and CEO; Mr. Ran Wei, Director and GM of Insurance Business; Mr. Xu Xiaoying, Head of Finance Department; and Mrs. Jasmine Lee, Board Secretary. We'll be happy to take some of the questions in the Mandarin line at the end of the conference call.
Peng Shen: Good afternoon, everyone. This is Shen Peng. In the first quarter, Waterdrop achieved robust business growth, while maintaining a steady profitability. Our revenue reached over RMB 750 million, up by 7% year-over-year. With the net profit attributable to our company's ordinary shareholders about RMB 110 million, a significant 34.2% year-over-year growth. This marks our 13th consecutive quarters of GAAP profitability. The segment, our insurance business continued proactive growth strategies starting first year premiums up by 19% year-over-year, contributing to an 8% year-over-year increase in insurance revenue. Comparable profiling at the [indiscernible] of online service platform will [indiscernible] insurance and health was strictly adhered to regulatory pipeline to be newly existing 3.47 million patients. E-Find Platform maintains stable execution with over the 11,000 patients enrolled today. We further invest our [indiscernible] AI stability establishing in the 2 benchmarks for insurance expectations, R&D expenses in Q1 totaled RMB 56 million, up by 3.6% is part of the quarter. Our Waterdrop Guardian AI insurance efforts expanded across more scenarios, including internal use in maternity insurance on WeCom and external partnerships. Reviewing to shareholders remain our priority. By end of May 2025, we have repurchased approximately 54.2 million ADS in the open market, totaling $1.07 million. This May, we distributed our third cash dividend of $7.3 million. Waterdrop remains committed to social responsibility and sustainable development, actively creating share value for society. As of March 31, 2025, Waterdrop Charity platform has partnered with 117 public charitable organizations, launching over 15.5 value projects, including rapid response to the earthquake. Currently, we expect our revenue growth rate in subsequent quarters to further increase. We anticipate that the annual revenue will grow by over 20% year-over-year. In the second half of the year, the company intended to increase its investment in driving business growth, which may have a certain negative impact on the annual profit. I will now pass to Ran Wei, to update our performance in insurance business.
Wei Ran: Thank you, Shen Peng. In the first quarter, our insurance business achieved FYP of approximately RMB 2.09 billion with a year- over-year growth of 19.3%, and a quarter-over-quarter growth of 10.2%. Insurance-related revenue reached about RMB 660 million, increasing by 8.4% year-over-year and by 13% quarter-over-quarter. The insurance business generated operating profit of approximately RMB 150 million, with an operating profit margin of 23%. FYP for short term insurance reached RMB 1.5 billion with 30.1% year-over-year growth and 4.6% quarter-on-quarter growth. On the customer acquisition side, tenured on Waterdrop insurance branding, we implemented personalized marketing strategies across traffic platforms, including TikTok, WeChat channel and [indiscernible] by leveraging real-time API capabilities. Currently, we upgraded coverage and value-added service for existing users, driving premium growth from both new and existing customer bases. On the supply side, we have continued to innovate in Million Medical Insurance, insurance for substandard risk and maternity insurance offerings. During the quarter, our products for substandard risk generated premium of RMB 280 million, representing year- over-year growth existing 200%. We have further strengthened our collaboration with insurance companies -- companies to develop more customized innovation products. Our exclusive maternity insurance product has been upgraded to version 5.0, introducing coverage for multiple diseases and for the first time, incorporating medication services side, providing expecting mothers with enhanced benefits. In late April, in partnership with issuers, we launched the [ Jiehaoyun ], the industry first Million Medical Insurance product with both health declaration waivers and guaranteed renewal. This product is available for chronic disease patients and individuals with suboptimal health, allowing renewal up to age 105 and setting new standards for medical insurance coverage. FYP for long-term insurance reached RMB 590 million, representing a 1.6% year-over-year decline with a 27.6% quarter-over-quarter increase. The year-over-year decrease was primarily attributable to the pressure on life insurance products. However, we observed a significant growth in disability insurance and critical illness insurance. Disability insurance products contributed over RMB 87 million in premium. Within critical illness insurance, our [indiscernible] featuring the flexible health declaration continue to gain user recognition since its launch with multiple upgrades and iterations. During this quarter, we also introduced an upgraded version of [indiscernible], a specific insurance product for type 2 diabetes [indiscernible] as well as the industry first service plan long-term charity insurance, furthering [indiscernible] innovation in long-term health insurance products. The traditional online sales team maintained steady quarter-to-quarter growth in the workforce side with productivity per capita achieving both year-on-year and sequential increase. [indiscernible] continued to refine its online life planner model indepeently contributing RMB 110 million in premiums in Q1. The platform also strengthened its technology collaboration with Waterdrop Insurance platform, launching an AI service application currently in beta testing, which can now handling over 100 daily service cases. Waterdrop continues to drive the development of large language model capabilities. As of the end of Q1, the company has filed 51 patents related to LLM technology and application continue to enhance operational efficiency across all business segments. The AI service quality Copilot has improved quality management efficiency by leveraging LLM [indiscernible] capability unique operating efficiency by 83%. The AI insurance expert has made significant progress across multiple product lines like the AI insurance expert in medical insurance is gradually scaling its capacity, facilitating 2 million in monthly premiums in outbounding mirror. Additionally, WeCom service expanded this quarter with the significant launch of maternity insurance service for WeCom clients in March, achieving end-to-end policy underwriting and premium generation. In customer service, our AI-powered support system operated 24/7, resulting 52% of users in serious automatic -- in the same scenario is already 94% of service without human intervention. Beyond medical insurance and customer service, we are actively expanding the AI insurance expert application to new scenarios through ongoing R&D efforts. This concludes our business insurance business in Q1. I will now pass to our Board Secretary, Jasmine to update our performance medical [indiscernible] and the health care business.
Jasmine Lee: Thank you, Ran Wei. As of the end of March 2025, around 475 million people cumulatively donated RMB 68.8 billion to about 3.47 million patients through our virtual medical cofunding platform. We focus on 3 key [ tests ] this quarter. First, we optimized our process design by introducing an online pledge requirement at the campaign initiation stage. Through this request, we will clearly communicate to -- communicate the platform core orientation to users. Additionally, we have carefully educated users about our social supervision mechanism as well as relevant laws and regulations, much like the health declaration and insurance application. This matter established an [indiscernible] Additionally, we moving on continued to enhance its risk control verification capability through systematic infrastructure improvement this quarter. We delivered standardized verification deadline for 3 high-risk scenarios, housing, vehicle, electric and income. By integrating official verification channels like from traffic management bureaus and local government service platform covering 92% of cities nationwide, we significantly improved the efficiency and quality of risk verification. Regarding the most confirmed issue of bond security, Waterdrop implemented an intelligent monitoring platform combining system [indiscernible] and manual follow-up. For 5 high-risk scenarios, the system can generate optimal risk control solution based on algorithm model. Determine the ideal frequency and timing for human invention, the technological approach have been effectively reduce the risk of misappropriation and ensuring the safety of [indiscernible] bond. In this quarter, health care-related business maintained steady development. The digital clinical trial solutions business with 185 pharmaceuticals and CRO, securing 7 new projects. During the quarter, 822 patients have been enrolled and the cumulative number of enrolled patients reached 11,250. Revenue from digital clinical trial business grew by 11.5% year-over-year. The platform continued to the oncology view, expanding its collaborative project this quarter in psoriasis, [indiscernible], gastrointestinal tumors, thereby strengthen its industry competitiveness. Additionally, leveraging extensive patient database and digital recruitment strategy, the platform achieved [indiscernible] in chronic and rare diseases, earning well recognized recognition. Concurrently, in this quarter, the platform has actively expanded digital omnichannel marketing initiatives, leveraging its [indiscernible] partnered with medical device company to jointly develop an intelligent service system for [indiscernible] base. This product is expected to be launched in the second quarter, collaborating with our partners to enhance the efficiency of patient health management. Now I will hand over to Xiaoying, our Head of Finance Department to discuss our financial performance in this quarter.
Xiaoying Xu: Thank you, Jasmine. Hello, everyone. I will now walk you through our financial highlights for the first quarter of 2025. Before I go into details, please be reminded that all numbers for you here will be in RMB, and please refer to our earnings release for detailed information on our financial performance on both the year-over-year and quarter-on-quarter basis, respectively. In the first quarter of 2025, all business segments in the quarter have delivered solid performance. The company's total revenue reached RMB 754 million, representing a 7% year-over-year increase. By business segment, insurance-related income contributed approximately RMB 658 million in revenue, up by 8.4% year-over-year. Performance serves amounted to RMB 67.1 million, are in stable year-over-year. Digital clinical trial solution business generated about RMB 23 million in revenue, growing by 11.5% year- over-year. In terms of the operations, the company focused on enhancing efficiency and quality. In the first quarter, total operating cost and expenses amounted to approximately RMB 678 million, representing a year-over-year increase of about 3%. The growth rate was lower than the revenue growth rate. Among this, operating costs for this quarter reached RMB 374 million, an increase of 13% on Y- o-Y basis. This was primarily due to and about RMB 37.7 million rise in cost of referral and service fees during the period, along with modest RMB 2.8 million increase in cost for digital [indiscernible] version and consulting team. Sales and marketing expenses amounted to RMB 172 million, decreasing by approximately RMB 9.6 million Y-o-Y. The reduction was primarily reflected in marketing service fees and related operational costs. Through the progressive application of AI capabilities, internal operational efficiency continued to improve with a decrease of RMB 5.9 million and RMB 5.6 million, respectively in this area this quarter. Moderately impact our investment in customer acquisition led to a year-over-year RMB 4.5 million increase in marketing expenses for certain channels. And this combined effect, sales and marketing expenses for the period decreased by 5.4% year-over-year. General and administrative expenses were RMB 74.9 million, down 15.8% year-over-year, primarily attributable to improvement in the company's management efficiency and a reduction in related professional services. R&D expenses were approximately RMB 56.2 million, remaining stable year-over-year. However, the structure of R&D costs have further adjusted to focus more on during the [indiscernible]. In the first quarter, the company achieved the net profit attributable to the ordinary shareholders of RMB 108 million, representing significant year-over-year growth of 34.2%. As of the end of Q1 2025, the company maintains ample cash reserves of about RMB 3.54 billion with operating cash flow continued to be positive. This quarter, the company generated net operating cash inflow of RMB 94.5 million, providing sufficient financial support for future business growth. In summary, the strong first quarter performance demonstrate what is sustainable and stable healthy growth with notable progress across multiple business segments. Moving forward, we will adhere to the business path of driving growth and improving efficiency through technological empowerment and continue to deliver steady performance. And ladies and gentlemen, with that, we will conclude today's conference call. We do thank you for joining. Have a good time. [Statements in English on this transcript were spoken by an interpreter present on the live call.]